Operator: Welcome to Visa Inc.’s fiscal Q1 2014 earnings conference call. [Operator instructions.] I would now like to turn the conference over to your host, Mr. Jack Carsky, head of global investor relations. Mr. Carsky, you may begin.
Jack Carsky : Thanks, operator. Good morning, everyone, and welcome to Visa Inc.’s fiscal first quarter 2014 earnings conference call. With us today are Charlie Scharf, Visa’s chief executive officer, and Byron Pollitt, Visa’s chief financial officer. This call is currently being webcast over the internet. It can be accessed on the Investor Relations section of our website at www.investor.visa.com. A replay of the webcast will also be archived on our site for 30 days. A PowerPoint deck containing financial and statistical highlights of today’s commentary was posted to our website prior to this call. Let me also remind you that this presentation may include forward-looking statements. These statements aren’t guarantees of future performance and our actual results could materially differ as a result of variety of factors. Additional information concerning these factors is available in our most reports on Forms 10-K and Q, which you can find on the SEC's website and the investor relations section of Visa’s website. For historical non-GAAP or pro forma related financial information disclosed in this call, the related GAAP measures and other information required by Regulation G of the SEC are available in the Financial and Statistical Summary accompanying today’s press release. This release can also be accessed through the IR section of our website. With that, I'll now turn the call over to Byron.
Byron Pollitt: Thank you, Jack. We will begin my call with the usual callouts and observations. First, let me start with payment volume and cross-border trends. The December quarter, on a constant dollar basis, grew payment volume at 11%, down 2 percentage points from the September quarter. This softening was led by a 2 percentage point drop in the U.S. from 10% to 8%, with the holiday spend consistent with a continuing U.S. economic recovery, but at a growth rate we would describe as tepid. U.S. results for the first 21 days of January were consistent with the December quarter. International payment volume growth rates in the December quarter remained healthy, in the mid-teens. On the cross-border front, growth picked up 1 percentage point from the September quarter, with both U.S. and international on the uptick. That said, January appears to be giving back some of the heightened cross-border activity we saw in the month of December. Second callout: let me begin by saying that we are affirming all our guidance metrics outlined on our October call. With that as perspective, I would like to elaborate on our net revenue growth guidance. Our guidance calls for low double-digits on a constant dollar basis offset by about 2 percentage points of negative FX. We define low double-digits as 10% to 13%. This means on an as-reported or nominal basis, growth is expected to be in the 8% to 11% range after FX impacts. On the FX front, after adjusting for hedges, we expect about 2 percentage points of negative impact in all four fiscal quarters. Given Visa’s relevant basket of currencies, the forward rates indicate continued strengthening of the U.S. dollar through the balance of the fiscal year. Drilling down a bit further, a stronger U.S. dollar versus the currencies for Japan, Brazil, Australia, and Canada, and more recently Argentina and Venezuela, have driven our headwind. In contrast, while the euro has strengthened versus the U.S. dollar, the absence of Europe from Visa, Inc.’s geographic portfolio has muted this potential benefit. Staying with revenue but switching gears, the quarterly growth rates for the balance of the year are expected to vary, with softer growth rates in Q2 and Q3, followed by an uptick in Q4. This cadence is driven by the following: the lapping of particularly strong revenue growth rates in Q2 and Q3 of the prior year, which benefited from low levels of client incentives and certain nonrecurring pricing actions, all of which were called out in last year’s earnings calls. In contrast, Q4 of last year had a disproportionate share of the fiscal year’s client incentives, which is a pattern that, at this point in the year, we do not expect to repeat. The third callout relates to the quarterly cadence for marketing spend. With the Winter Olympics rapidly approaching and World Cup soon to follow, we expect a significant uptick in marketing spend in Q2 and Q3 versus our spend in Q1, followed by a downshift in Q4. This, of course, will have an impact on quarterly operating margins. Fourth callout is the return of litigation escrow funds from those merchants opting out of the recently approved class action settlement, the dynamics of which we covered at our investor day in June and reiterated last quarter. On January 27, $1.1 billion was returned to us and was deposited back into our litigation escrow account. The receipt of the payment increases our current taxable income by $1.1 billion and income tax payables by $387 million. While it has no direct effect on our income statement, it negatively impacts our free cash flow over the last three quarters of fiscal 2014. This event was fully contemplated and is reflected in our full year guidance of about $5 billion in free cash flow. To be clear, the return of the actual escrow funds is not included in our free cash flow, but the impact of higher cash taxes is included. Last callout: as always, we remain committed to returning excess cash to our shareholders. To this end, we repurchased a total of 5.5 million shares during the quarter, at an average price per share of $199 and change. This leaves an outstanding open to buy of 4.2 billion. Now let’s turn to the numbers. I will cover our global payment volume and processed transaction trends for the fiscal first quarter, followed by our results through January 21. I’ll then cover the financial highlights of our first fiscal quarter. Global payment volume growth for the December quarter in constant dollars was 11%, modestly below the September quarter’s 13%. The U.S. grew 8%, and international grew 15%. More recently, in the U.S., through January 21, payment volume continued at 8%. Drilling down further, U.S. credit was 10% in both Q1 and through January 21, compared to 11% in Q4. Similarly, U.S. debit grew at 7% in both Q1 and through January 21, compared to 10% in Q4. Global cross-border volume delivered a solid 12% constant dollar growth rate in the December quarter, up modestly from the 11% rate in the September quarter. The U.S. grew 11% and international 13% in constant dollars. Through January 21, cross-border volume on a constant dollar basis grew 10% with a U.S. growth rate of 9% and international 11%. Transactions processed over Visa’s network totaled $16 billion in the first fiscal quarter, a 13% increase over the prior year period. The U.S. grew 9% while international delivered 26% growth. Through January 21, processed transaction growth was 11%. Now turning to the income statement, net operating revenue in the quarter was $3.2 billion, an 11% increase year over year driven primarily by solid growth globally in both domestic and international transactions and as mentioned earlier, negatively impacted by a 2% FX headwind. Moving to the individual revenue line items, service revenue was $1.4 billion, up 9% over the past year, and was driven by solid global payment volume growth. Data processing revenue, $1.3 billion, up 13% over the prior year quarter, based on solid growth rates in Visa processed transactions, both in the U.S. and internationally. International transaction revenue was up 11% to $891 million, reflecting an ongoing broad-based strength in cross-border volume. Total operating expenses for the quarter were $1.1 billion, up 3% from the prior year. Given earlier discussion on the cadence of marketing spend, we expect expense growth in Q2 and Q3 to be somewhat higher versus Q1. Operating margin was 66% for the first quarter, ahead of our yearly guidance of low 60s, but consistent with our expectations. We expect Q1 to be our lowest quarter for operating expense in fiscal 2014. Our effective tax rate for Q1 was 32.4%. Capital expenditures were $120 million in the quarter. At the end of the quarter, we had 634 million shares of class A common stock outstanding on an as-converted basis, and the weighted average number of fully diluted shares outstanding for the quarter totaled 639 million. Finally, as noted earlier, our full year guidance metrics for revenue growth, client incentives, operating margin, EPS growth, and free cash flow remain unchanged. And with that, I’ll turn the call over to Charlie.
Charlie Scharf: Thank you very much, Byron, and good morning to everyone. First, let me just start by saying that we feel very good about the strong financial performance during the quarter, as Byron had mentioned: solid revenue growth, solid net income growth, and solid earnings per share growth. Global payment volume, as you can see from the numbers, is relatively strong. Holiday spend in the U.S. was better than reported as we were going through the holiday season, and was certainly impacted by the shorter calendar. It was extremely uneven as we were going through it, and the continued movement from face-to-face to digital purchases was extremely meaningful. Let me just give you some updates on the legal and regulatory front. As I’m sure you’ve read, on December 13, U.S. District Judge Gleeson granted final approval of the merchant litigation cases. As part of the settlement, Visa and the other defendants received a comprehensive release of liability to claims in the lawsuit, as well as protection against further litigation regarding interchange and other U.S. rules. As expected, a number of objectors to the settlement have appealed. We at Visa are very focused on concluding these disagreements and on building our efforts to enter into a better relationship with the entire merchant community, identifying new ways to enable them to differentiate themselves and their customer experiences, and competing more effectively. Also, about two weeks ago, the U.S. Court of Appeals for the DC circuit heard oral arguments and the Fed’s appeal of Judge Leon’s decision in the challenge to the Durbin regulations. While it’s hard to make any courtroom predictions, as we all know, we’re pleased with the hearing. We continue to believe that the government has a strong case on appeal. Let me move on and just talk for a second about some topics of interest and start with the recent industry data breaches. First of all, we understand that these events are terrible for everyone affected. Everyone is the merchant, the issuer, the acquirer, the networks, but most importantly the consumer. And while the consumers are generally protected by the network rules of zero liability, meaning they’re not responsible for any fraud due to the breach, we all have to realize that these compromises are disturbing to them, they’re inconvenient, and they raise broader data security concerns that the entire industry must solve. Unfortunately, many merchants, issuers, and both of their lobbyists are attempting to assign blame in the press and not reacting in a particularly constructive manner, and it’s in all of our best interests that this change quickly. Within the payments ecosystem, the impact on the merchants, the acquirer, the issuer, and the network are all equally negative. We all share the same customer, who’s going through this difficult experience, and our sales and long term relationships with that customer will suffer if we don’t work together to get to a better place. The appropriate way to respond to this issue for all parties to jointly work together toward better data security standards and better payment security standards. Maintaining trust in the electronic payment systems is our highest priority, and we’re actively exploring new ways to enhance the safety and security of the payment system. To that end, we do believe it’s critical that we make progress toward the implementation of EMV Chip in the U.S. We can’t do this on our own. We need merchants, acquirers, and issuers to be supportive. We know it’s expensive. It means new cards, new terminals, new software development, but as we can all see, it is necessary. It’s our hope that all issuers and merchants will migrate to EMV, but we also understand that it’s complex. There are an awful lot of terminals out there and an awful lot of cards that have to be updated, and this has to be done in a way that does not disturb commerce. In 2011, we had announced a plan to migrate the U.S. to EMV technology through a liability shift beginning in October 2015 and we have reaffirmed these dates. EMV, to be clear, would potentially eliminate the ability to reproduce the card and thereby reduce if not eliminate counterfeit fraud at the point of sale, but it’s also important to note that it’s equally imperative that the industry move towards tokenization, which should be equally effective at reducing or eliminating card not present fraud. As we work towards a better solution, we’re also redoubling our efforts to make sure that consumers understand that they’re protected. We’ve invested in national advertising to reassure customers of the zero liability fraud protection. These important protections shield our consumers in the U.S. from bearing any fraud loss after data compromise, as I said before. We’re also focused on making sure that there’s clarity of fact with the media and in Washington. I’m personally concerned about the amount of misinformation you read in the public domain, from confusion around who incurs the cost of fraud losses, to the misrepresented lack of payment system security. This is misleading, inaccurate, and not helpful, and can have unintended public policy consequences. We’re actively engaged with policymakers in Washington, DC, along with our partners, to ensure that they actually hear the facts and understand the multiple layers of infrastructure that protect the payment system. Let me just switch topics for a second and just talk for a second about V.me, which we’ve done on several calls. On the last quarterly call, I spoke about our efforts to simplify what we’re building. Since launching it, we’ve learned valuable lessons, as we’ve talked about, to accelerate its success in the marketplace and better meet the needs of what our issuers and merchants actually want in the marketplace. We’ve been working hard to evolve the product in response to what we’ve heard from them, which is to simplify the merchant integration and focus on the simplicity of consumer card payments for online and mobile transactions. We’re pleased that the work is now coming to market, with the first phase of our redesigned platform released last week, providing merchants with faster integration and easier time to market. I can share now that Jos A. Bank, Ticketmaster, Auto Zone, and Petco will be some of the first merchants to go live withV.me through this new, simplified integration. These new merchants join the strong group of existing merchants and financial institutions already offering V.me to their consumers, which represent over $13 billion in spend and approximately $300 million in addressable cards. And we’ve talked about that our success here at Visa does depend on the strength of our relationships with all parties in the payment system. We value all of those relationships, and we continue to work hard to solidify those relationships. As we’ve talked about, we reorganized the company last year to strengthen our outreach to all of those constituents. To that end, we have made good progress and our track record of winning or renewing issuer and cobrand contracts is excellent. Let me just talk for a second about our cobrand business, because we’ve gotten a series of questions from that as we’ve met with you all. Let me just talk about, because the U.S. is far and away the majority of where the cobrand market is, and just talk about some of the effects for us in our fiscal 2013 year, looking backwards. Just remember, we have the leading cobrand market share. Most cobrands do not go to RFP, and when we look on a volume-weighted basis at our renewals, we renewed about 95% of our current cobrand deals that were actually up for renewal. We also won about 60% of the new cobrand deals on a volume-weighted basis. As we said at investor day, seven of the top U.S. cobrands are a majority of Visa. So when you look at those numbers, we’re very pleased with the business that we’ve had and the rate of success we continue to have in the marketplace, and our cobrand pipeline is very healthy in fiscal 2014 and beyond, as we look ahead. Let me just change gears for a second and just share with you some facts about our new platform: Everywhere You Want to Be, which is a new integrated campaign that communicates our vision and how our brand is positioned for the future. Those of you who have been covering us for a while may remember we once used the tagline Visa, it’s Everywhere You Want to Be, to reflect the growing presence of Visa in merchant locations across the United States. Today, the new global campaign allows us to expand what “everywhere” means and build upon the historical equities of the brand. We’re bringing this new Visa brand and our mark to light gradually, starting with Olympic-themed advertising in the U.S. and a rollout to more markets and audiences around the world, starting in March. So I’m going to conclude just by reaffirming our view here of how excited we are about the future and the opportunity. We’ve talked about the secular opportunity to penetrate cash and check and how healthy that opportunity is across the entire globe. We continue to work on innovation, being flexible and adaptive in the world we live in, both for our existing customers and continuing to open up the network on the edges to embrace the change that’s going on around us. And with that, I’m going to open up the floor for questions to Byron and myself.
Operator: [Operator instructions.] Our first question comes from Tim Willi from Wells Fargo.
Tim Willi - Wells Fargo: Wanted to get your thoughts, if you could, around Bitcoin. Obviously, that’s sort of the new rage. We get a lot of questions from investors. I’m sure you do as well. But can you just talk about how you think about it, whether it is something that potentially could be a broad consumer application, or if it’s more of a niche around cross-border business? Or just how how you might think about that, and how Visa might interact or support that, or not at all.
Charlie Scharf : I guess I would start with, it’s early days in terms of what Bitcoin is, and what it will be. We’re certainly paying attention to it. It’s very early to understand exactly what all of the implications are for it. We will say, when we look at our network and the people that we compete with in terms of what people think of as a traditional network, the established network rules we have, the understanding of how things operate, understanding who the participants are, the fact that business that we do has financial institutions on either side of the transaction, you know, the success of our payment system and our primary competitors is that for a reason. And there’s certainly some interesting things about Bitcoin and other things like it, but there’s also a great deal of complexity. People talk about things like frictionless and things like that, and when you actually dig through it, it’s really not the case. It’s far more complex than that. And we feel very comfortable with the business that we have here.
Operator: Our next question comes from Bob Napoli of William Blair.
Bob Napoli - William Blair: Question on security. And I’m sure you don’t have all the answers on this, but if EMV had been in place, would it have prevented some of the recent breaches? And just in line with the trend in security, it seems like there are these dates out there that tend to get pushed back. Do you think that the breach at Target and others, do you sense it’s going to drive the adoption of EMV and other security faster than it otherwise would have? Are you seeing action taking place that wasn’t happening 30 days ago?
Charlie Scharf : Well, the second part of your question, I think the answer is yes. You know, people don’t live in a vacuum, and when you see the kinds of breaches that have occurred recently, it gets everyone focused on making sure that we’re doing all that we can to minimize any potential fraud in the future. So the dates that we had set out are the dates that we are going to stick with. Again, it requires people do a lot of work, which we understand, but we think it’s good for the payment system, for the ultimate end user, which means it will ultimately be good for all of us, in the process. On your first piece, remember, first of all, in terms of what actually has happened with the breaches that we’ve read about, not all the facts are out yet. So it’s a little premature for all of us to talk about what would have solved it. I think it’s fair to say that as best we can tell, some of the breaches that you’ve read about don’t relate to the payment systems at all. They relate to breaches within companies’ server environments, or some personal information, so EMV would obviously have nothing to do with that. To the extent that there were breaches occurring on the point of sale device, it’s probable that the account number possibly would have been able to be compromised, but the ability to reuse that account number to create a new card, to use that card at a physical point of sale on a fraudulent basis, would not be possible. It would still be possible to use that account number potentially at card not present, which is why it’s important that the industry also continue to push forward with tokenization.
Operator: Tom McCrohan from Janney Capital Markets, you may ask your question.
Tom McCrohan - Janney Capital Markets: Is V.me being positioned as a mobile wallet long term? Or is it more kind of a tender type for ecommerce transactions, something more like a Paypal?
Charlie Scharf : I think of V.me very simply as a way for our customers to have an easy way to make payments online with their general purpose credit card, through user name and password. So people like to ask is it a wallet? Is it this? Is it that? It’s really not that complicated. It’s when you are buying on your computer, your tablet, or on your mobile device, right now it’s not easy to get from the beginning of the checkout process to the end of the checkout process using our products.
Operator: Our next question is from Tien-tsin Huang with JP Morgan.
Tien-tsin Huang - JP Morgan : I had a quick follow up on the breach, then I had a cross-border question. Just on the breach, any risk of indirect impact from consumer [confidence] changing maybe in terms of usage of card, maybe mix shift to credit, or just reissuance risk in general. And then on cross-border, I know there’s a lot of discussion in the market around emerging markets, FX volatility. Can that have any impact on cross-border activity or profitability? What should we be considering there? And then lastly, cross border, on the World Cup front and with the Olympics, is that enough to show up in cross-border volumes?
Charlie Scharf : Why don’t I start with the first? Consumer confidence and using the cards, which we pay very close attention to, continues to still look very, very good. We’ve actually done our own surveys, starting at the time of the breach. One of the reasons why we ran the advertising that we ran to make sure that consumers understand that, while it’s unpleasant and not something that we want them to go through, they’re actually protected. And in terms of what we’ve seen in our actual payment results and these surveys, things continue to look pretty good for us.
Byron Pollitt : On the cross-border front, logic would say that depending on how currencies move, it should have an impact on cross-border. The way it tends to materialize, and the way we typically think about it, is by corridor. And yet what we saw this past quarter, despite a broad strengthening of the U.S. dollar, there was actually strong traffic to the United States and strong cross-border spend from countries where the currencies were somewhat weaker relative to the U.S. dollar. And that’s counterintuitive to what you would normally think. As a result, our view more broadly on cross-border is that it’s economically driven, and that how economic growth globally behaves is more likely to have an impact on our overall cross-border volumes. So if I were to single out an area, emerging markets, there’s been a lot of focus on declining values and growth rates in emerging markets. Those areas still have been vibrant sources of growth for us, but we have a close watch on that in the year to come. With regard to World Cup, Brazil has been one of those countries where the currency has weakened, which bodes well for incoming traffic to the World Cup this summer in Brazil. The outbound spend from Brazil is one that will be under pressure, for two reasons. One, the weakness of the currency. That’s often overpowered by an unflagging desire for Brazilians to travel. The government’s making it more difficult, however, by putting on some pretty serious taxes, both on the use of credit and debit cards when they’re used in cross-border transactions. So I’d say from a World Cup standpoint, hopefully I would expect most of the Brazilians to stay home for the festivities and that outbound travel is probably never much in the cards. Inbound travel, if anything, should be aided by the weakness in the currency in Brazil and possibly Argentina will benefit as well, as their currency has taken a nosedive of late.
Charlie Scharf : Hard to believe we’ll see anything Sochi.
Byron Pollitt : Yes.
Operator: The next question will be from Bryan Keane, Deutsche Bank.
Bryan Keane - Deutsche Bank: Just two quick questions. One, I guess, just what’s behind the slowdown in U.S. debit volumes, and any difference between PIN and signature? And secondly, I noticed you guys hide EMV chip, just your latest thoughts on the EMV chip versus the EMV chip and PIN, and will you promote one versus the other?
Byron Pollitt : On the debit side, I’d say hard to read that. There is pretty tepid growth in personal disposable income, which is the primary indicator we look at, now that we’ve pretty much lapped the more immediate Durbin effects. Remember, debit is disproportionately nondiscretionary. So one of the important drivers of debit spend is the growth in jobs, which adds to the overall growth in nondiscretionary and debit spend. And we’re just not seeing much in the way of growth rates there. What we’re seeing is declining growth rates there for the U.S. in that regard. If we were to take a look at Visa signature versus Interlink, I would say the growth rates on the PIN side have been running higher than on the signature side. And as you noticed, we downshifted a bit from where we were in the prior quarter as we began to move further away from the immediate effects of Durbin and begin to hit a more normalized pattern.
Charlie Scharf :
. :
Operator: The next question comes from Darrin Peller of Barclays.
Darrin Peller - Barclays : We noticed that the service fees were up sequentially. Did anything in pricing or perhaps some lag effects from the [unintelligible] drive that? And then is there anything unsustainable around the amount you’re now generating in service fees per dollar of payment volume? And then just quickly, on the topic of pricing, we clearly saw a pretty significant cross-border price change at Mastercard over the last couple of quarters. While I know you guys want to be careful and surgical on pricing changes, especially [unintelligible], might there be some similar opportunities soon from Visa?
Byron Pollitt : On the service fee side, I would say there’s no real callout. Remember, a lot of our service fee is subject to FX impacts. So if we look at the constant dollar growth in service fees, we’re at 13, the FX impact bringing that down to about 10 nominally. And service fee growth was around 9. So I’d say that’s pretty close. So I’d say there’s no real callout on the yields. It’s well within a zipcode of what we have done within the past three or four quarters. So no callouts.
Charlie Scharf : And on the pricing question, I answer it very consistently with what we’ve been saying. We are not opposed to increase in price, we’re not opposed to decrease in price, we’re not opposed to keeping price the same, as long as there’s a reason for all of those things. So I think we have been disciplined, we’ve been thoughtful, and that’s what we’ll continue to do. And I guess the last thing I would say is we are more than willing to sacrifice our short term performance versus other people if it’s the right long term thing to do for our company and for our industry. And so we’re very comfortable with what we’ve done and what we haven’t done in pricing.
Operator: Jason Kupferberg of Jefferies, your line is open.
Jason Kupferberg - Jefferies : If I heard correctly, I think processed transaction growth slowed a little bit in the first three weeks of January, 11% versus the 13% last quarter. So wanted to get a little bit more color there in terms of kind of U.S. versus international trends. And then just quickly switching gears, any thoughts in terms of the implications of the data breaches on MCX’s potential strategy? I know you guys get a lot of questions around that, but to the extent they were looking at private label or decoupled debit product as a primary funding source in their wallet now, with the potential for consumers to be more wary about giving their bank account data to a retailer. Would just appreciate any thoughts you have around that.
Byron Pollitt : Let me start with the transaction growth. And let me break it down U.S. versus international, give it to you for the first quarter, and then for January, so that you have the detail. So as I said on the call, processed transaction growth for the first quarter was 13%, U.S. was 9%, and international was 26%. January, 21 days, processed transaction growth was 11. 7 for the U.S., 24 for international. So a downtick in both.
Charlie Scharf : And I guess just to add a touch of color on that, because we obviously look at these numbers daily, weekly. We look at all the trends. And the one thing that we talk about over the past several months, and it really goes back to the beginning of last quarter, is there’s a lot of volatility embedded in the numbers. Week in, week out, it’s very hard to pick up trends. And so whether they’re positive or negative over a several week period of time, we’ve been unable to discern anything more meaningful than this continued tepid recovery that Byron described. And then on the second question, I guess I would say what we continue to say. And I’ve talked about this fairly consistently. As we think about our competitive position, understanding that we’re continuing to evolve and change and make sure that we open our network up to those who can direct transactions to us and continue to build value on our network. Having said all that, safety, security, and soundness is the price of entry in payments. There’s no question about that. And people can build whatever they want, and the moment that consumers start to get nervous about using their own personal information or payment credentials is the moment that people will start to see the effect of that. And so what we and our primary competitors have are these established payment networks, known rules, people understand how they’re protected, which is why we think EMV is important, because it takes mag stripe to a new standard, and we’re pushing beyond EMV towards the next thing. And so to the extent that other payment methods are not as secure, that is a competitive disadvantage. And that’s how we think about it.
Operator: Sanjay Sakhrani from KBW, please ask your question.
Sanjay Sakhrani - KBW : Just had a question on the FX hedging practices going forward. How should we think about the relevance of them as currencies move going forward, especially if the U.S. dollar were to strengthen more?
Byron Pollitt : According to the [forwards], the U.S. dollar is strengthening more against the currencies that are most relevant in our portfolio. So the forwards aren’t as steep as what we were looking at a year ago, but nonetheless, to the extent there has been a headwind, I would say looking forward, the headwind continues. It’s just not as steep as it was when we looked out six, nine months ago. We begin hedging a year ahead of time. So we hedge 12 months out. We do rolling hedges. So we begin 12 months out, and then our hedges are largely in place, I would say, five or six months before the period we actually report. We do economic hedges, so we don’t hedge everything. For a particular currency, we take revenue, subtract the natural hedge of the expenses we incur in that currency, and then we hedge not 100%, but a meaningful portion of the remainder, and we do that for about 15 currencies. The intent is not to speculate, but to simply dampen the impact of currencies. And the way we approach it, it’s not possible to put complete hedges in place. The intent is to put enough in to dampen it within certain predetermined exposures that we calculate. It’s a pretty straightforward value at risk analysis. So when there are large sustained movements, those are going to be reflected in our numbers. They just won’t have the amplitude that you would have if we didn’t hedge. We have pretty good visibility to this, which is why we can give you a three to four quarter look ahead, which is our practice from a guidance standpoint.
Operator: Craig Maurer with CLSA, your line is open.
Craig Maurer - CLSA: First is for Byron. If you could discuss the cadence in marketing spend. Will the ramp look similar to what we saw during the last Olympic Games? Though I do know you have two events coming up. And secondly, does [host card] emulation present a good tool for your tokenization project in the card not present world? And would you move quickly toward certification there?
Charlie Scharf : Let me just do number two first, because the answer is yes.
Byron Pollitt : And on the second one, I don’t have a comparison, but you should expect a significant increase in marketing spend in Q2 and Q3, and then a meaningful downshift in Q4. We’ve had this combination before, and even though the finals of the World Cup are typically in July, which is Q4, there is a substantial amount of marketing that occurs prior to the finals in that April, May, June timeframe. So that quarter has a substantial component of the World Cup, and this quarter is the one that has virtually all of the Winter Olympics spend. One other callout, the spend for Winter Olympics is significant in terms of the quarterly cadence, but it is not at the level of spend that you would see for a Summer Olympics.
Charlie Scharf : Let me just reiterate what Byron said in his opening remarks, just to make sure that we were as clear as we can be. As we look to our fiscal second and third quarters, in the second and third quarters, because of what Byron referred to, our revenue growth numbers will not be as robust as we’ve seen this quarter and in the fourth quarter. We said that we expect the expense growth to be higher in the second and third quarters because of the marketing numbers that Byron talked about. And that obviously then flows through to weaker margins in the second and third quarters, recovering in the fourth quarter for things that we know are coming, which is why we reaffirmed full year guidance. But there will be these variable and lumpy trends as we see the year play itself out.
Operator: Ken Bruce, Bank of America Merrill Lynch, you may ask your question.
Ken Bruce - Bank of America Merrill Lynch: My question is relatively simple. It may not be quite as simple of an answer, but I’m hoping to get a little bit of perspective around the processed transactions. Just in terms of the percentage that has basically been migrating slowly higher, I was hoping you might be able to dimensionalize what is driving that share increase in terms of processed transactions, what are the contributors to that, and maybe what you think is a reasonable high end for processed transactions. And then separately, if you would provide any color around the merchant relationships that you mentioned in your opening remarks, in terms of improving those relationships and what that might entail.
Byron Pollitt : I think that’s a pretty straightforward, simple question, on the processed transactions part, for sure. Two dimensions here. First of all, when you look at the relative growth rates between U.S. and international, the international is growing at a multiple of the U.S. growth rate. When you break down international, if you took a snapshot of our portfolio today, international for us is still largely a credit business. That’s what got established first. When you look at what’s driving the transaction growth, it is very clearly debit and that is the huge opportunity that will drive international transaction growth for years to come. For us, debit is still in its infancy internationally relative to the United States. Another dimension: in the United States, we process nearly 100% of our transactions. Outside of the United States, we can process anywhere from 90% to 0%. And so the opportunity for us to Visa process transactions is still a wide open field. And that, by the way, is particularly true in debit. So you will hear us talk a lot more about that in the quarters to come, because it’s linked so directly to our growth opportunity.
Charlie Scharf : And on the merchant question, we don’t have anything that we want to talk publicly about now with any individual merchant, but as I said in the opening remarks, our goal is to provide the kinds of value-added services for merchants that we have done such a good job of providing to the issuing community for a long period of time. And we’re in the process of having discussions, and when we have specifics to talk about, we’ll talk about them.
Operator: [Operator instructions.] And the next one will come from Smitti Srethapramote, Morgan Stanley.
Smittipon Srethapramote - Morgan Stanley: Can you please give us an update on your government relations efforts in emerging markets to increase the electronification of payments?
Charlie Scharf : First of all, government relations for us, especially when you get outside of the developed world, is not a traditional government relations function. It’s not a staff function that sits to the side and just goes around and has lobbying types of conversations. In the emerging markets, government relations is a business for us, because the government is our partner in helping electronify the payment systems in these particular markets. Very often, when the government leads with trying to move their transactions to the electronic payment systems, that then can help drive the market. That’s what we see in places like Rwanda and other places, which are really emerging. And so when you look across the world, we think of the government as a client and a partner to helping build a business which is good for them. And the reason why it’s good for them is it’s ultimately good for all of their participants, whether it’s the merchants or the individuals, and obviously we and our competitors will benefit from that, as cash exits society.
Byron Pollitt : If I were to reflect back to when we went public in 2008, and if you were to have asked that question, I don’t think anyone would have thought to ask that question. But today, governments of emerging markets have gotten a lot more interested and pay a lot more attention to electronic forms of payment. They’re interested in it from a very self-serving standpoint in that you can’t tax what you can’t see, but they’re also very focused on this is a way of providing, in Charlie’s words, a safer, more secure and sound financial system for their citizens. And so there’s a natural tendency to want to regulate, and our involvement now is very, very early contact with a broad range of emerging market governments, because they can be very well intentioned but also unenlightened in regard to how to think about regulation, and what the impacts are. And so we have got government relations people stationed all over the world, particularly in emerging markets, and their role is largely educational, so that governments that have a legitimate interest in regulating this part of their monetary system can do so understanding how best to provide safety, security, and soundness and to allow the market to operate so that they get the kind of penetration of electronic payments, which will grow and be healthy. And we’ve been exceptionally pleased with the reception of most governments to talking with us and partnering with us to develop their electronic payment systems in a way that’s healthy and I think will provide a good foundation for growth to come.
Operator: Glenn Greene of Oppenheimer, you may ask your question.
Glenn Greene - Oppenheimer : As you renewed your Chase deal, I think the implication, or you suggested that you’d pick up some incremental volume. I was curious if you’ve started to see that, and should we be thinking about that as sort of being reflected in the run rate or something that we could expect going forward throughout calendar ’14 as sort of incremental volume? And then just a quick number question, in terms of where are you in terms of V.me merchants signed.
Byron Pollitt : On Chase, we do expect to see incremental volume during the course of the year. We expect some to begin this quarter, not material, and we expect it to build through the course of fiscal year ’14. In our guidance, that incremental is contemplated, but it will be more second half weighted, clearly, than first half.
Charlie Scharf : And on V.me merchants, I don’t have the updated number here, to be honest with you.
Glenn Greene - Oppenheimer : Do we sort of get a step function increase at some point during this year, or is it sort of gradual, test mode, kind of figuring it out?
Charlie Scharf : We’ll be in a position to answer that question in another month or two, because we’ve just rolled out the new platform that I described. And we’ll start to see the effect of it, and have a better understanding of what it means for the ramp up.
Operator: Next we have Chris Brendler of Stifel.
Chris Brendler - Stifel Nicolaus : I have two questions that I probably won’t get a lot of detail on, so hopefully it won’t take too long. One is Visa Europe, anything you can say additionally about Visa Europe and what potentially that would look like if it could come back to you? Any progress there? Any updates? And then similarly, on the Judge Leon case and the appeal, obviously you can’t give us too much there, but I was wondering if there was any way you could, on a timeline, it sounded like from that hearing that the timeline could be shorter than I think the original estimates that were somewhere around a year. Is it possible we could hear something from the three judge appeal panel in the next couple of months?
Charlie Scharf : Nothing different to talk about on Visa Europe. Otherwise, I would have mentioned it in my opening remarks. And on timing, we don’t know, on the appeal.
Jack Carsky : And in terms of the last question, we’ve got the numbers. We have over 300 signed, and 80 are currently live, on the V.me.
Operator: Next we have a question from Glenn Fodor of Autonomous.
Glenn Fodor - Autonomous Research : Byron, just wanted to peel back your comments on emerging markets a little bit more. Can you give us a rough sense of what percent of your volumes come from emerging markets? And then within that volume category, can you give us a range of what type of multiple to your overall volume growth that this is growing? Is it three times as fast, or four times?
Byron Pollitt : I don’t actually have those statistics at my command. The emerging markets, these growth rates are midteens and better.
Charlie Scharf : And depending on the market, it could be substantially better than that.
Byron Pollitt : Yes, and could be substantially better. And these growth rates, we have a portfolio. So even though some of these have had currency issues in terms of weakening currencies, these growth rates have held pretty well even where there has been weaker currencies. Government intervention, where they’re trying to limit the outbound, can have an effect. You’re seeing that in Brazil today. Likely to see it in Argentina, Venezuela, countries where there have been more severe locations. But the durability of the growing cross-border in emerging markets has been quite resilient.
Operator: Your last question will come from Andrew Jeffrey of SunTrust.
Andrew Jeffrey - SunTrust Robinson Humphrey : Quick question on the cybersource transaction growth, which decelerated in the first fiscal quarter. Any commentary just broadly around that, and implications or read throughs to overall ecommerce volume?
Byron Pollitt : Let me separate the two. On ecommerce volume, this was a fantastic holiday spend season for ecommerce. And the trend in growth and ecom is very, very healthy. And so the downshift a bit in the growth in cybersource has nothing to do with the underlying growth in ecommerce. What I would say the cybersource established an early significant position as a gateway in what has become a much more competitive space. And I think what we’re going to find in the next few quarters is that we’re going to need to up our game and that this space is just going to be more competitively intense than it has been in the past couple of years. And that is a direct testament to how attractive the growth prospects are for ecom, which is the one channel that is particularly suited for electronic payments.
Jack Carsky : And with that, we want to thank everybody for joining us this morning. And as always, if you have any follow up questions, please feel free to give either Victoria or myself a call. Thanks.